Operator: Good day, and thank you for standing by. Welcome to the Enlight’s Third Quarter 2024 Earnings Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Yonah Weisz, Director of IR. Please go ahead.
Yonah Weisz: Thank you, Operator. Good morning, everyone and thank you for joining our third quarter 2024 earnings conference call for Enlight Renewable Energy. Before beginning this call, I would like to draw participants’ attention to the following: Certain statements made on the call today, including but not limited to statements regarding business strategy and plans, our project portfolio, market opportunity, utility demand and potential growth, discussions with commercial counterparties and financing sources, pricing trends for materials, progress of Company projects, including anticipated timing of related approvals and project completion and anticipated production delays, expected impact from various regulatory developments, completion of development, the potential impact of the current conflicts in Israel on our operations and financial condition and Company actions designed to mitigate such impact, and the Company’s future financial and operational results and guidance, including revenue and adjusted EBITDA, are forward-looking statements within the meaning of US federal securities laws, which reflect management's best judgment based on currently available information. We reference certain project metrics in this earnings call and additional information about such metrics can be found in our earnings release. These statements involve risks and uncertainties that may cause actual results to differ from our expectations. Please refer to our 2023 annual report filed with the SEC on March 28, 2024 and other filings for more information on the specific factors that could cause actual results to differ materially from our forward-looking statements. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Additionally, non-IFRS financial measures may be discussed on the call. These non-IFRS measures should be considered in addition to and not as a substitute for or in isolation from our results prepared in accordance with IFRS. Reconciliations to the most directly comparable IFRS financial measures are available in the earnings release and the earnings presentation for today's call, which are posted on our Investor Relations webpage. With me this morning are Gilad Yavetz, CEO and Co-founder of Enlight, Nir Yehuda, CFO of Enlight, and Adam Pishl, CEO and Co-founder of Clenera. Gilad will provide some opening remarks and will then turn the call over to Adam for a review of our US activity and then to Nir for a review of our third quarter results. Our executive teams will then be available to answer your questions.
Gilad Yavetz: Thank you, Yonah, and thank you all for joining us today. This was an outstanding quarter for Enlight, and we are pleased to present an extremely strong set of financial results for the first nine months and third quarter of 2024. Starting with nine months results, revenue grew 56% to $285 million comparing the same period in 2023, Adjusted EBITDA grew 50% to $214 million, net income dropped to $58 million, but excluding one-off items grew by $8 million from $48 million to $56 million, an increase of 17%. Cash flow from operations rose by 25% to $158 million. And now for the third quarter results, revenue was up 88% to $109 million, representing strong operational performance coupled with new project additions. Adjusted EBITDA grew 86% to $88 million. Net income was $24 million versus $26 million, though excluding one-off items grew by $15 million from $11 million to $26 million, an increase of 114%. Cash flow from operations rose to $66 million, up 115%. On the back of these results, we are pleased to increase our 2024 guidance ranges for the second consecutive quarter. This represents an increase of additional $10 million at the midpoint for both revenue and adjusted EBITDA guidance. Nir will explain in more detail later on. Enlight continues to roll out its major expansion plans on all fronts, and this quarter saw significant CODs, significant new project construction, and a significant addition to our Mature phase Portfolio. During the past nine months, we have added new generation capacity of 500 megawatt and a new energy storage capacity 1.5 gigawatt hour to our operational portfolio. These include Atrisco solar and energy storage project in New Mexico and additional projects in Europe and MENA. This capacity is expected to contribute approximately $105 million in revenues and $80 million in EBITDA in 2025. In addition, we have begun construction on 810 megawatt of generation and more than 2 gigawatt hour of storage at three additional projects in the US, which are expected to contribute $137 million in revenues and $110 million in EBITDA on an annual basis when fully operational. In the next three years our global generation and energy storage capacity will triple, reaching 6 gigawatt generation and 7.6 gigawatt hour energy storage by 2027. The demand for electricity in the United States is soaring. Power consumption is rising fast, attributed to the electricity needs of data centers, AI and electric vehicles. It’s estimated that data centers alone will consume approximately 12% of the country’s electricity output by 2030, up from about 3% in 2023. As a result of this trend, PPA prices continue to remain high, reflecting high returns for our projects. We believe that the market’s critical need for electricity will continue intensify the need for our projects. Given these conditions, potential changes in future regulations on tariffs and tax incentives may have more of an impact on electricity prices, and less on the building of new projects or rates of return. We are also securing growth in 2026, 2027, and beyond. This quarter we are introducing Snowflake A into our Mature phase Portfolio, with a capacity of 600 megawatt solar and 1.9 gigawatt hour energy storage, as well as announcing a 20-year PPA for this project with Arizona’s APS. Snowflake is a high return project that is expected to begin construction as early as mid-2025. Adam Pishl, CEO Clēnera, will expand on all these developments in just a bit. The favourable balance between our offtake price, cost of equipment, and cost of capital continues to generate high returns for our projects. As shown in our financial reports and releases, our unlevered asset returns reach double digits, and reflect attractive mid teens returns after leverage even at the current interest rates, which have already started to decline. Our European projects are benefiting from very strong market conditions. Revenues this quarter were up 24% compared to last year. Spanish electricity prices have reached their highest points this year, and are resulting in excellent returns at Gecama. We have hedged 65% of Gecama’s anticipated 2024 generation for €100 per megawatt hour, and have already have built a substantial hedge for 2025, which covers 60% of next year’s anticipated output at a price €65 per megawatt hour. With new capacity commissioned and large-scale development portfolio, we see continuous growth in this geography. MENA is showing significant growth this year, fueled by the rapid expansion in Solar & Storage Clusters, and the strong ramp up of Genesis Wind farm, one of Israel’s largest renewable energy projects. As a result, revenues this quarter were up 223% for this region compared to last year. This quarter we achieved COD at three new solar and storage project, completing the 12-site Solar & Storage Cluster, with a total capacity of 248 megawatt and 625 megawatt hour. We expect the complete Cluster to generate revenues of $35 million and EBITDA of $25 million in 2025. On the offtake side in Israel, during the third quarter we signed three new corporate PPAs with clients in the electronics and electronics and manufacturing sectors; we have entered into a total of nine corporate PPAs so far this with annual consumption volumes of 105 megawatts. To sum up, we are proud to repeatedly show strong results and increased guidance ranges. Solid offtake demand, low equipment costs and declining interest rates support our attractive project returns. We believe that demand will continue to drive growth in all geographies, even under different incentive regimes, and that any potential change in tax incentives may translate into higher electricity prices rather than negatively impact project deployments or returns. We continue converting our very large development portfolio into mature-phase projects, driving higher revenues and profits. I’d now like to hand the call over to Adam.
Adam Pishl : Thank you, Gilad. Enlight and Clenera are achieving great milestones in fulfilling our substantial growth objectives for the U.S. market. This quarter highlights the magnitude of these objectives and some great achievements we’ve made as we continue to successfully deliver quality construction projects and exciting development assets. We are in the final steps of Atrisco energy storage COD in New Mexico. We are starting construction on major projects all located in the western United States. And lastly, we announced the signing of the Snowflake A PPA, another very large project entering Enlight’s Mature Portfolio at near RTB status, located in Arizona. Together these five projects total approximately 1.8 gigawatts of solar and 5.1 gigawatt hours of energy storage capacity. In October, we achieved full COD on the solar portion of Atrisco, located near Albuquerque, New Mexico. This project includes 364 megawatts of solar and 1.2 gigawatt hours of energy storage. We are completing the energy storage connection to the grid, and expect full COD for the energy storage portion in the coming weeks. Atrisco, which is one of the largest solar and battery projects in the U.S., is Enlight and Clenera’s flagship project. Its completion paves the way forward to begin the next stages of our expansion in the U.S. market. We are starting construction of three projects, with a total of 810 megawatts of solar and over 2 gigawatt hours of energy storage capacity. The first, Country Acres, a 392 megawatt solar and 688 megawatt hour energy storage project in California has started construction, beginning with improvements to adjacent public roads needed to accommodate construction traffic into the site. Work has also begun on the PV site. We are also excited to partner with the University of California, Davis to include agrivoltaics on a portion of this project to further study dual land uses in utility-scale solar sites. This project is expected to achieve COD in the second half of 2026. Moving from California east to Arizona. Located 60 miles east of Tucson, our Roadrunner project includes 290 megawatts of solar and 940 megawatt hours of energy storage. I am pleased to report we have secured all regulatory permits for this project. Construction crews are mobilized and work to build a road network throughout the site is underway. This project is scheduled to achieve COD in the second half of 2025. Quail Ranch, an expansion of the Atrisco project outside Albuquerque, New Mexico, will begin mobilization in December. Leveraging Atrisco’s interconnection, Quail Ranch brings an additional 128 megawatts of solar and 400 megawatt hours of energy storage to our portfolio. All required permits have been approved, and site work will begin by the end of the year. We anticipate completing commissioning on this project by the end of 2025. In parallel to these activities, we are also closing in on financing and tax equity arrangements for each project. We look forward to providing you with more updates on the financing of these projects early next year. I am also excited to introduce the first phase of the Snowflake Complex, located in northern Arizona. This overall complex consists of over a gigawatt of land and interconnection rights. We are in the final stages of design and permitting for the first phase of this complex, which we are calling Snowflake Solar A. As recently announced, we have secured a power purchase agreement with APS for this first phase, which includes 600 megawatts of solar generation and 1.9 gigawatt hours of energy storage. The PPA offers a solid economic foundation for the project, which is scheduled to begin construction in 2025 with COD anticipated mid-2027. Achieving this milestone for Snowflake exemplifies our ability to convert high-quality assets from our advanced development portfolio into projects ready for construction. Both in terms of size and profitability, Snowflake is an impactful project to the overall Enlight portfolio. On a broader level, Snowflake is an example of how the US energy market provides a positive backdrop for our project fundamentals. The scarcity of new projects, especially very large projects like Snowflake, along with growing demand for energy drives positive tailwinds for electricity prices. Combined with decreasing equipment prices and interest rates, these trends result in attractive unlevered returns for our current and future projects in the US. Lastly, our global supply chain strategy and deep relationships have continued to be a strength. Supply contracts for Roadrunner are completed, and we expect to sign the remaining contracts for both Quail Ranch and Country Acres this month. With our strong supplier partnerships, we have been able to secure competitive pricing with good resilience against potential trade impacts. This resilience comes in part from contractual terms, but also domestic supply. In conclusion, our third quarter results highlight our team's incredible ability to continue to overcome the ever-present market and supply chain hurdles and execute on our substantial growth objectives in the US. I look forward to continuing to share this developing growth story on future calls. I'll now turn the call over to Nir for a review of our quarterly results. Nir?
Nir Yehuda: Thank you, Adam. In the third quarter of 2024, the company's revenue increased to $109 million, up from $58 million last year, a growth rate of 88% year-over-year. Growth was mainly driven by new projects compared to last year as well as higher production at our existing projects and better merchant prices. Since the third quarter of 2023, 12 new projects in the US, Hungary and Israel started selling electricity. The most important of this is Genesis Wind, which contributed $15 million to revenue, followed by the Israel storage and solar cluster, which added an additional $16 million. Gecama revenue increased 40% year-over-year to $18 million as the project benefited from positive pricing and production trends. We sold electricity at an average of €96 per megawatt hour versus €76 per megawatt hour for the same period last year, while production was up 8% from the same period last year. The average price realized through our hedging strategy was €100 per megawatt hour, covering 69% of the quarter's production. Merchant prices in Spain during the quarter reached their highest point this year. Third quarter net income decreased from $26 million last year to $24 million this year, a decline of 7% year-over-year. The impact of new and existing projects added $13 million. This was reduced by a $4 million loss on the revaluation of foreign currency assets. In contrast, in Q3 2023, the company recorded a $6 million non-cash profit on the mark-to-market of interest rate hedges linked to Atrisco financial close. A number of other income items impacted the current quarter, resulting in a $15 million benefit. In comparison, other income items in Q3 2023 amounted to a $16 million benefit. In the third quarter of 2024, the company adjusted EBITDA grew by 86% to $88 million compared to $47 million for the same period in 2023. On the whole, adjusted EBITDA growth was driven by the same positive factor, which affected our revenue growth and which contributed $49 million, though offset by an additional $9 million in higher operating expenses linked to a new project and $3 million increase in overhead. Other income included $10 million in compensation from Siemens linked to inadequate performance of turbines at the Björnberget project in Sweden, compared to $8 million from the sale of non-core assets in 3Q 2023. Looking to our balance sheet, Enlight raised approximately $133 million in gross proceeds of debt in Israel after the balance sheet date by way of expanding its existing Series D notes traded on the Tel Aviv Stock Exchange. The notes were sold at an effective yield of 6.3%, with a duration of 3.7 years. In addition, Enlight has $320 million of revolving credit facilities at Israeli and international banks, none of which have been drawn as of the publication of this report. Moreover, in the third quarter of 2024 cash flow from operations was $66 million, an increase of 115% year over year. Moving to 2024 guidance, given the strong set of results we delivered for the third quarter and first nine months of 2024, we are raising our financial outlook for the year. Our range for 2024 revenue guidance rises to $355 million to $370 million from $345 million to $360 million previously, and our adjusted EBITDA guidance range rises to $255 million to $270 million from $245 million to $260 million previously. This represents an increase of $10 million from previous midpoints for both metrics, and further demonstrates the financial strength of the company as it continues to deliver rapid growth and expansion. I’ll now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] We will now take the first question from the line of Justin Clare from ROTH Capital Partners. Please go ahead.
Justin Clare: Hi, good morning.
Gilad Yavetz: Hey good morning. How are you?
Justin Clare: Morning and doing well. So, first off, wanted to start here with the change in the administration in the U.S., it does look possible that we get changes to the IRA incentives. One possible change that's being discussed is an earlier phase-down of the ITC or the PTC. So I was just wondering if you could talk about whether you're safe harboring projects to ensure that they qualify for the ITC or PTC and if so how far into the future you may be looking at safe harboring?
Gilad Yavetz: Okay. Thank you very much for the question. I'll start and Adam you can complement me if you want. So, basically I think the two strongest points for us in the U.S. is one the power demand. The power demand in the U.S. is soaring. Utilities need the electricity from us and they need our projects. We have very high-quality projects that are approaching construction or being constructed and we see a lot of demand for that. The second point is that 95% of the queue for interconnection in the U.S. until 2030 is comprised of renewable energy projects. So, what we see at the moment is renewable energy projects, whether the market or ours, are the answer to the soaring needs of electricity in the U.S. And if you look on incentives of course and this is a policy question naturally between different administrations. We believe there is a balance between the incentives from one side, the tariffs -- so the tariffs on trade from the other side, and electricity prices from the other side. This is like a triangular. So, we believe that in a market where you see a very strong demand and if there is an administration that is going [Technical Difficulty]. So, we believe [Technical Difficulty] the project's completion or supply, but maybe the electricity prices. Okay. So, the way we see it we strongly believe there is a need for our projects and for renewable energy projects, there might be development of additional project, maybe fossil fuel power stations; but projects that will be developed and will be completed are going to be constructed and maybe power prices may also balance between the different aspects of this triangular.
Adam Pishl: I'll just add to that. Justin, thank you for the question. Certainly, we are safe harboring and have been following that strategy for some time well into the future. And I think in addition, I would say that we've been through Clenera alone, Jason and I started two other solar companies as well. So we've been in the business since 2007 through multiple different iterations of administrations. And as Gilad said, the project fundamentals and the demand ultimately drive these projects getting put into the ground. And so we're certainly and have been focused on strategies to overcome the challenges that we see in any future administration.
Justin Clare: Got it. Okay. Appreciate it. So maybe shifting to another topic here, you mentioned that I think the CO Bar project is moving out one year here. Can you provide a little bit more detail on the APS interconnection reform process? How is that progressing? What led to the decision to delay the project? And then how current or how confident are you in the current time frame? And then also I believe Snowflake is in the same region. Can you comment on where that project is in the interconnection process and whether you still need to secure the interconnect there?
Gilad Yavetz: So maybe I can again, Adam, maybe I can start generally and then of course you'll follow on with the deep analysis. So maybe I can start with the latter side of the questions, because I think this shows how deep Enlight and Clenera portfolio is in the US. While 1 project is being delayed and we are a developer, we have a very, very large project that is similar in size that is being ahead of schedule and is replacing it. So if you look in terms of capacity -- between $120 million to $130 million in revenues. Snowflake has been moved forward. CO Bar is slightly moving ahead, but it's still deep within our plans for 2027, and I think this is a strong point. And if you put a focus on what Enlight has been doing in the US since the acquisition. So you can see that, the first wave of project of Atrisco and Apex is already delivered is connected and is going to contribute $65 million. These are the first wave of projects that are being constructed -- constructing Quail Ranch, Country Acres and Roadrunner. So they are going to be placed in 2025 and 2026. They will contribute twice already so $135 million. And the third wave where CO Bar and Snowflake and other projects are going to be delivered between 2027 and 2028 let's say that are $300 million. So again, more than two-fold in terms of size, and all of this portfolio is happening. So we are delivering. One wave is already connected and contributing. The other is under construction. And on the third wave, Adam will now provide the details on the strategy that we have on Snowflake and CO Bar.
Adam Pishl: Great. Thank you, Gilad. Yeah. First of all, very complex set of circumstances of course on CO Bar. To start off, the system is co-owned by six separate utilities with different utilities managing various portions of the system. It's the Navajo transmission system, which as you can imagine, having six different utilities involved makes it very complicated. While that's true, APS does manage the process and all studies and documentation has to be agreed and executed by them as well as all of the other parties. We have a lot of confidence on our new date that we've provided. I've sat down with the leadership of APS who of course manages the process. They're very, very eager to have that resource online and are as concerned as we are and so they're doubling down and focused in on that process. The schedule that they've outlined has the LGA being executed in the second half of 2025. We've given ourselves additional buffer just to make sure that we can hit those dates. But as Gilad mentioned, Snowflake, we're able to bring that project in. It is the benefit of having a very robust portfolio and frankly a team that's able to shift to other projects and resources including all of our partnerships that we're able to do that. And Snowflake is much different. Snowflake is not in this kind of a cluster situation. The Snowflake, while they're both in Arizona are completely different electrical regions within the APS balancing authority and Snowflake was not part of the APS queue transformation. So Snowflake has an LGA already in hand and all green lights from the interconnection standpoint. So that project is moving forward.
Justin Clare: Okay, great. Good to hear. Thanks for the time.
Adam Pishl: You bet.
Operator: Thank you. We will now take the next question from the line of Jack Hurley from Mizuho. Please go ahead.
Jack Hurley: Hey, how are you guys? Thanks for taking my question. I just got two here for you. In terms of flexibility for PPAs for projects that have not started construction if interest rates were to rise or the ITC/ PTC removed let's say by the Trump administration with no safe harbor, do you guys have flexibility in that regard?
Gilad Yavetz: Hi, Jack, thank you for the question. So in general as we announced in the past, we have amended multiple PPAs of the company when external circumstances have occurred like tariffs or regulations. So utilities tend to understand and share with us basically the need for the project and the need to adjust the offtake price to these kind of developments. So we have a good track record in that. It's not promised. But until today we have a very good track record in doing that if these, kind of, developments occur.
Jack Hurley: Thanks. And it looks like the Snowflake is a pretty good nice contract with a PPA let's say around $70, $80 per megawatt hour. Can you touch on any equity needs and the timing you may have for that to fund Snowflakes or other projects that are entering the next phase?
Gilad Yavetz: Yeah. Nir, would you like to take that?
Nir Yehuda: Yeah. Thank you. So as mentioned this is a quite advanced project. We expect to start the financing process within a few weeks now. Given the status of the project, we believe that we will be in a very good position to finance of course the project without exceeding much the equity needs, which is currently around -- I think in the table that we presented it's between 15% to 20% of the total CapEx. And if we will exceed it a bit so for that purpose, we have the revolvers that will cover the needs between constructing the project, which we will not delay the construction until we close the financing and reach the senior debt. And again the revolvers will enable us to construct without any constraints of timeline. But given the status of the project, we are very optimistic about the timeline of the project including the financing process.
Gilad Yavetz: Yeah. I can add to Nir words that we believe a project like Snowflake is quite convenient to finance because of the structure of the project in terms of the offtake as you said the fact that it's a busbar PPA for 20 years, no risk on the offtake price, capacity payments for the energy storage in terms of the engineering side so flattering very high radiation resource. So very strong fundamentals of the project. So what we see is very strong demand from lenders on these kind of projects. Therefore, we expect as Nir said, that we will finance it with a very attractive for us net equity ticket.
Jack Hurley: Got it. Thanks. Appreciate it guys.
Operator: Thank you. We will now take the next question from the line of Steve Fleishman from Wolfe. Please go ahead.
David Paz: This is David Paz for Steve Fleishman. Thanks. Good morning. I just had a couple of quick questions. Thank you for all the content. Slide 16 on the US growth, I just want to make sure I understand. Can you maybe take this slide and help us gauge just growth in the US like if we look at 2027 EBITDA relative to the overall growth of the company? Maybe in other words, what percentage of EBITDA do you expect coming from the US thank you – by 2027?
Gilad Yavetz: Yes. So we still provide a forecast for 2027 for the overall of the company. So what I can say Steve is that obviously as you can see we are investing a lot in the US. We have strong projects with very, very attractive EBITDA that are coming in. I think that the capacity is such that even if it's spread between 2027 and 2028 still you see the very, very high growth in the US and US is becoming more and more dominant. So in 2025, we expect the EBITDA to be around 15% 1-5 of total Enlight. In 2026 it will be higher and going forward, it will be higher because of the size and the capacity of these projects.
David Paz: Okay. That makes sense. Thank you. And maybe one follow-up on 2024 EBITDA the guidance raise. I think correct me if I'm wrong. Did your original EBITDA or at least your previous EBITDA guidance include the $10 million of compensation from Siemens?
Gilad Yavetz: Nir will take that. Thank you.
Nir Yehuda: Yes. Of course, at the end the LDs coming from Siemens for the purpose of compensating the revenues that we expect to generate during the year. So naturally either as an LDs or revenues, it's part of our EBITDA and in that regard it's not a surprise to be included in the EBITDA. It's just the sources of it. It's not by generating electricity but by getting the LDs from Siemens.
David Paz: Okay. Great. Thank you.
Operator: Thank you. We will now take the next question from the line of Michael Strouse [ph] from JPM. Please go ahead.
Unidentified Analyst: This is Michael on for Mark. Just wondering if you guys could give some more color maybe on the development portfolio past 2027? What markets do you see growth coming from? And then kind of how are you thinking about your longer-term development assets within the PJM markets at this stage? Thank you.
Gilad Yavetz: Yes. Thank you very much, Michael. So if you look on our presentation Slide 11, so what you can see is that we factor together solar and storage in order to give you some kind of equivalent size of our portfolio. And altogether, we are talking about 30 factored gigawatts that are comprising our full portfolio. And I think again, we see a strength within the depth of the portfolio. So if you can see on the Mature phase, we have 85 projects, so either yielding already or approaching construction in a capacity of 8.2 factored gigawatts. And Advanced phase Portfolio, which means projects that are going to be constructed between one and two years from now, we have additional 6.4 gigawatts that are approaching construction and an additional 14 gigawatts that are under various phases of development, but sometimes very advanced okay? If you look on the development phases, basically they are comprised of the land rights of every project the permitting, the offtake and the interconnection primarily in terms of the external access of development. And internally, of course, we have the financing and engineering. And we are advancing this project also, I would say, for all phases of our portfolio. So, when we say that we have 30 gigawatts of our portfolio, it means that we have as you see a bunch of around 200 projects that are being pushed in all access of development. And in this way, we can feed the project for construction and get I believe as a pure-play developer and IPP very, very good visibility towards, I would say, our forecast our guidelines and our revenues. So we see this, I would say, growth continuing onwards after '27, '28, '29, '30 based on the current portfolio as you see that is very deep, and of course, we are constantly enlarging the portfolio. So we are looking for additional projects, additional segments in various areas. And I think that the fact that Enlight is very balanced and diversified between geographies, between the U.S. Europe and MENA; and also between technology segments we are very balanced between wind solar and storage. This can fuel our growth because from this growing market and also these segments represent the vast majority of the growth in renewable energy worldwide.
Unidentified Analyst: Great. Thank you. And then maybe just as a follow-up. I think in PJM, could you just help us think about the size of your development portfolio in that market? And then I think in the past you talked about potential opportunities for capital recycling in that market. Maybe just an update on your thinking there? Thank you.
Gilad Yavetz : Yes. Adam would you like to take this question?
Adam Pishl: Yes, I'm happy to take the question. Thank you, Michael. PJM is an area that we continue to focus on. We continue to develop and work through the challenges that are there. There are certainly some constraints to overcome. In terms of capital, really again our focus is not on that right now. We're really just pushing the development forward on these projects and continue to develop.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. [Operator Instructions] There are no more questions at this time. I would like now to turn the conference back to Yonah Weisz for closing remarks.
Yonah Weisz: Thank you very much for joining, and we look forward to speaking with you next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.